Operator: Good morning. My name is Bradley and I will be your conference operator today. At this time, I would like to welcome everyone to the Delek US Holdings Fourth Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Mr. Keith Johnson, you may begin your conference.
Keith Johnson - Investor Relations: Thank you, Bradley. Good morning. I would like to thank everyone for joining us on today’s conference call and webcast to discuss Delek US Holdings’ fourth quarter and year end 2013 financial results. Joining me on today’s call will be Uzi Yemin, our Chairman, President and CEO; Assi Ginzburg, our CFO; Fred Green, our Executive VP and President of Refining; and Danny Norris, our CAO; as well as other members of our management team. As a reminder, this conference call may contain forward-looking statements, as that term is defined under Federal Securities laws. For this purpose, any statements made during this call that are not statements of historical facts maybe deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are cautioned that these statements maybe affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statement, whether as a result of new information, future events or otherwise. Today’s call is being recorded and will be available for replay beginning today and ending May 27 by dialing 855-859-2056 with the confirmation ID number 44428260. An online replay may also be accessed for the next 90 days at the company’s website at delekus.com. Last night, we distributed a press release that provides a summary of our fourth quarter 2013 results. This press release is available on our corporate website and through various news outlets. On today’s call, Assi will begin with a few opening remarks on financial performance for the quarter. Danny will cover additional financial details before turning it over to Fred to discuss initiatives in our Refining segment. Then Uzi will offer a few closing strategic comments. With that, I’ll turn the call over to Assi.
Assi Ginzburg - Chief Financial Officer: Thank you, Keith. During the fourth quarter of 2013, marketing conditions in our refining segment were less favorable compared to a strong condition in the fourth quarter of 2012. A combination of factors, including a decline in the Gulf Coast exports and erring of the median crude oil price differential resulted in a decline in our refining margin on a year-on-year basis. We are able to partially offset the declining refining margin with improved performance in our logistics segment during the fourth quarter. We ended the fourth quarter in a solid financial position with approximately $400 million of cash and total debt of approximately $410 million. During the quarter, we extended the maturity of the Supply and Offtake Agreement with J. Aron to April 2017 and the maturity of the line term loan to December 2018. Both support our El Dorado refining operation. Finally, we return a record amount of cash to our shareholders during 2013 as we declared $0.95 per share in regular and special quarterly dividend, which is 58% higher than the $0.60 per share in regular and special dividend in 2012. In addition, in 2013 we purchased $38 million of stock for a total of $95 million of cash returned to shareholders including the EBITDA. Now, I will turn it over to Danny to discuss additional financial details.
Danny Norris - Chief Accounting Officer: Thank you, Assi. For the fourth quarter of 2013, Delek US reported a net loss of $4.7 million or $0.08 per basic share. This compares to a net income of $64.3 million, or $1.06 per diluted share in the fourth quarter of last year. As discussed in the press release, results for the fourth quarter of 2013 were reduced by a combination of special items that amounted to approximately $6.8 million after tax and consisted of higher general and administrative cost, lost margin related to turnaround activity and the loss on disposal of an asset. Also we incurred higher income tax expense in the fourth quarter. For the full year of 2013 Delek US reported net income of $117.7 million or $1.96 per diluted share versus net income of $272.8 million or $4.57 per diluted share in 2012. The change in year-over-year earnings in the fourth quarter was driven by primarily by lower margins in our refining segment. As Assi mentioned a combination of factors during the fourth quarter created a challenging market. The Gulf Coast 5-3-2 crack spread was $13.11 per barrel in the fourth quarter of ’13 compared to $26.71 per barrel in the fourth quarter of 2012. Second, the average WTI Midland crude discount to WTI Cushing narrowed to $2.31 per barrel in the fourth quarter of ’13 from $3.55 per barrel in the prior year period. In addition, the crude oil future’s market was backwardated during the fourth quarter ’13 compared to a market that was in contango during the fourth quarter of ’12, further increasing the average crude oil price on a year-over-year basis at the refineries. This backwardation has continued into the first quarter of 2014. Finally, in preparation for the January 2014 turnaround at the El Dorado refinery the sales volume was reduced in the fourth quarter in order to increase inventory to support customer demand during the turnaround period, which reduced margin by approximately $4.5 million or $2.8 million after tax and is included in our special items. Now, I would like to discuss a few additional items on the income statement. General and administrative expenses increased to $32.8 million in the fourth quarter of 2013 compared to $28.8 million in the prior year period. This increase was primarily due to non-cash cost related to executive compensation of approximately $3.5 million. Further, expenses that primarily consisted of professional fees related to refinancing efforts and acquisition activities added another $1.7 million of cost. These special items amounted to approximately $5.2 million or $3.2 million after tax. Depreciation expense was $25.6 million in the fourth quarter of 2013 compared to $21.3 million in the fourth quarter of 2012. This increase was due to the completion of capital projects that began depreciating during 2013. Finally, results were negatively affected by hard unexpected annual tax rate that increased tax expense by approximately $3.4 million in the quarter, again resulted in our effective annual tax rate adjusted for minority interest of 37.6%. This is higher than previous guidance of 36.5% for the year ended December 31, 2013. We expect that for 2014 the income tax rate to be similar to 2013 adjusted for the minority interest. Turning now to capital spending, our capital expenditures during the fourth quarter of 2013 were approximately $105 million compared to approximately $52 million in the fourth quarter of 2012. During the fourth quarter of 2013, we spent $75.5 million in our refining segment, $1.8 million in our logistics segment, $16.3 million in our retail segment and $11.4 million at the corporate level. Our refining segment capital spending included work on the crude oil storage tank and turnaround work on the DHT Alki and Coker units at Tyler. At El Dorado, pre-turnaround work was conducted during the quarter. Our 2014 capital expenditures are forecasted to be approximately $236.4 million. This amount includes $156.5 million in our refining segment, $20.4 million in our logistics segment, $29.5 million in our retail segment and $30 million at the corporate level. This is an increase from $222.3 million in 2013, primarily due to turnaround related and growth projects in refining. Now, I would like to discuss our results by segment. Our refining segment represented approximately 60% of the total contribution margin generated in Q4 of ‘13. As mentioned earlier market conditions were less favorable in the fourth quarter on a year-over-year basis. Our refining segment contribution margin was $45.8 million during the fourth quarter of 2013 compared to $49.7 million in the fourth quarter of ‘12. El Dorado contribution margin was $20.5 million compared to $54.9 million in the fourth quarter of 2012. Our Tyler refinery contribution margin was $23.6 million in the fourth quarter of 2013 compared to $95.3 million in the same period last year. On a combined basis, our refining system had total throughput of approximately 132,000 barrels per day during Q4 of 2013. At Tyler, we processed approximately 55,600 barrels per day of crude compared to approximately 59,900 barrels per day in the fourth quarter of 2012. During December of 2013 plant turnaround work was completed on some units, which reduced throughput during the quarter. Our El Dorado refinery processed approximately 64,800 barrels per day of crude during the fourth quarter of ‘13 compared to approximately 63,200 barrels per day in the year ago period. During the quarter, we averaged approximately 8,100 barrels per day of rail supply crude, of which approximately 2,900 barrels per day was heavy Canadian. Now, I would like to review our Logistics segment. Delek Logistics commenced operations on November 7, 2012 and results prior to this date are reported on a predecessor basis. The predecessor period includes assets contributed to Delek Logistics at tariff rates that were in effect prior to November 7, 2012. Our Logistics segment contribution margin was $18.6 million in the fourth quarter of 2013. Results benefited from several factors, higher volumes in our Lion pipeline and SALA gathering system and the benefit from approximately $700,000 of RINs generated from our ongoing ethanol blending activities in West Texas, improved performance year-over-year. Additionally, the contribution from a full of quarter contracts associated with services provided to Delek US’ refineries and fees from the Paline Pipeline were also factors in higher results. Finally, in July 2013, a subsidiary of Delek US sold substantially all of the storage tanks and the product terminal at the Tyler refinery to Delek Logistics, which improved performance in the quarter. Moving on to the Retail segment, retail’s contribution margin decreased to $7.1 million in the fourth quarter of 2013 compared to $8.7 million in the fourth quarter of prior year. Higher fuel margins during the period were offset by lower merchandise margins and higher operating expenses. We continue to focus on our initiative of building large format stores and completed 10 during 2013. Our goal is to complete an additional 10 to 15 stores in 2014. At the end of 2013 we had 53 large format stores out of our total store count of 361. I will now turn the call over to Fred to review initiatives in our Refining segment.
Fred Green - Executive Vice President and President, Refining: Thanks Danny. I would like to give you an update on our turnaround at the El Dorado refinery and projects that were completed during that time. Also I wanted to discuss our finance for the Tyler refinery turnaround scheduled now for the first quarter of 2015. The El Dorado refinery began its scheduled turnaround on January 4 and it was completed in February. We completed projects including the bottlenecking the crude pre-flash tower to increase our flexibility to process an additional 10,000 barrels per day of light crude. In order to handle the additional barrels of light crude the gasoline hydrotreater was also expanded. The FCC reactor was replaced was state-of-the-art technology during the turnaround as well. We also completed the second phase of the DHT expansion increasing that unit from 33,000 barrels per day to 34,000 barrels per day. Taking the turnaround and restart into consideration we expect crude throughout to average between 35,000 and 40,000 barrels per day during the first quarter 2014 at El Dorado. Now I’d like to spend some time discussing our plans for the Tyler refinery. As mentioned earlier during the fourth quarter we completed the turnaround of several units at Tyler. This work gave us the flexibility to extend the full turnaround until first quarter 2015. At that time we’re planning to replace the FCC reactor at Tyler was state-of-the-art technology like we did in El Dorado in February. Now I’ll turn the call over to Uzi for his closing remarks.
Uzi Yemin - Chairman, President and Chief Executive Officer: Thank you, Fred. Our team performed well over the past year and remain focused as we face the range of market conditions. The turnaround project completed at El Dorado could result in additional good flexibility and improved efficiency. During the turnaround we’re able to meet our customer’s demand in Arkansas through our inventory position and leveraging our integrated system to ship light products from Tyler. We continue to unlock the value of our logistics assets without recently completed dropdown of the El Dorado tank farm and terminal assets in February for approximately $96 million. In our retail business we made progress in our strategy of adding new large format stores to the portfolio in 2013 and additional stores will be added in 2014. In addition Delek acquired a 149 mile pipeline that extends from El Dorado to Helena, Arkansas as well as the Mississippi River terminal located at Helena. While these assets are currently out of service they may increase the future logistics flexibility of our El Dorado refinery. Market conditions improved through the fourth quarter and positive market trends have continued during the third quarter of 2014. The differential between WTI Midland and Cushing has widened to approximately $3.36 per barrel on average in the first quarter which improves our performance as our refineries brought us approximately 87,000 barrels per day from Midland. During February trading this discount for March crude – was as widest $8 to $9 per barrel and we’re currently seeing the discounts for April goods in the 550 to $6 per range compared to WTI Cushing. We continue to maintain financial flexibility to a solid balance sheet and remain focused on creating value through a combination of investing in our businesses and growing through acquisitions while returning value to our shareholders. With that – can we please open the call for questions?
Operator: Thank you, sir. (Operator Instructions) Your first question comes from the line of Ed Westlake with Credit Suisse.
Rakesh Advani - Credit Suisse: Hi, thank you. This is actually Rakesh. Just wanted to confirm something the CapEx that you’ve guided to for 2014 for up to around $36 million, within that refining component or anything like how much is associated of the turnaround, can you break that out or is that excluding it?
Uzi Yemin: Rakesh, can you repeat the question, I’m not sure we understood the question.
Rakesh Advani - Credit Suisse: The total CapEx that you’ve guided for 2014 of $236 million. Within that you have the refining spend which is like about 156, right?
Uzi Yemin: Correct.
Rakesh Advani - Credit Suisse: And is there associated turnaround spend through El Dorado included in there?
Fred Green: Yes, hi, Rakesh it’s Fred. The turnaround cost is included that 156 CapEx number.
Rakesh Advani - Credit Suisse: And can you share how much that is?
Fred Green: We were planning on a spend of about $41 million in total and we’re still putting the tally together for all the turnaround work but we’re pretty consistent with the number.
Rakesh Advani - Credit Suisse: Okay. And how many days exactly El Dorado would be down for?
Fred Green: The actual turnaround work itself was scheduled for 38 days and we came in on some units a little shy of that and one or two a little bit longer. But like I said turnaround is over, the refinery is back up and running.
Rakesh Advani - Credit Suisse: Okay. And then so the 35 to 40 in the first quarter, that come across everything a little bit low just based on the duration?
Fred Green: Well you got to remember the 34 to 38 days was mechanical work on the turnaround. So we had the restart and getting everything lined out.
Rakesh Advani - Credit Suisse: Okay. And I guess just one last question on the logistics side. Can you kind of give us an idea of what potential EBITDA you can get up to and over what timeframe?
Uzi Yemin: Well we always had a target of $150 million within three years of IPO. Logistics 2013 was $64 million. If you include the run rate and the dropdown, it probably is around $80 million. So we were hoping to get toward the end of the year with the negotiation of pay line and other project in the $5 million to $10 million that dropdown toward our goal or second year goal, the $150 million that’s our target, three years from the IPO?
Rakesh Advani - Credit Suisse: And that would also include some acquisitions, right?
Uzi Yemin: Yes.
Rakesh Advani - Credit Suisse: Okay. Thank you.
Uzi Yemin: Thank you, Rakesh.
Operator: Your next question comes from the line of Robert Kessler of Tudor, Pickering, Holt.
Robert Kessler - Tudor, Pickering, Holt: Having now completed the turnaround work at El Dorado, can you give us some guidance on where the average cash cost will fall for the full first quarter?
Uzi Yemin: I’m not sure I understand the question. Could you please expand the question?
Robert Kessler - Tudor, Pickering, Holt: Yes. Can you – with the turnaround work at El Dorado and the downtime, do you have any guidance for your unit operating cost and refining for the first quarter?
Assi Ginzburg: I’ll start by saying that Delek we do not expand the turnaround and our turnaround basically part of our capital plan. Since we were down for basically just over a month, if you look at the total operating cost for the El Dorado refinery it’s – are going to be $2 million, $3 million below what we’re – what we saw before. With that being said natural gas prices are slightly higher right now so it maybe going to be very similar not on a per unit but on a total base similar to (indiscernible). On a per unit base we did report that we believe we will run between 35,000 to 40,000 barrels of crude during the El Dorado during the quarter. So if you do the math you can calculate that number.
Robert Kessler - Tudor, Pickering, Holt: Okay. And you kind of head on the second part of my question which was going to be the natural gas price exposure. Do you have a rough sensitivity say for $1 change in natural gas prices and what your full year earnings might be affected by just given the volatility we’ve seen in recent natural gas prices?
Uzi Yemin: Sure. Between the two refinery give or take we’re consuming around 7 million units of MBTU. So just on natural gas that will be everyone that will chain approximately $7 million of operating cost for the company and there will be some impact on utility so I would say up to a $10 million chain.
Robert Kessler - Tudor, Pickering, Holt: Okay. That’s clear. Thanks so much.
Assi Ginzburg: On an annual basis of course.
Uzi Yemin: Obviously on a yearly basis.
Operator: Your next question comes from the line of Evan Calio of Morgan Stanley.
Unidentified Analyst: Hey, guys. This is Ben Hur for Evan today. Quick question now that the turnarounds are completed at both the refineries bigger one at El Dorado and smaller one at Tyler. How are the refineries performing, what is your expectation, are you meeting your targets that you had set prior to putting the refineries in a turnaround?
Uzi Yemin: I’ll take the first part and Fred will probably complete that. We obviously wanted – let’s start with the big one. El Dorado we wanted to get to $80,000 – barrels. We are in the final stages of turnaround, the start-up and we don’t see any reason why we won’t this 80,000 mark. On the Tyler side after the small turnaround the – we finally up to races, up to the rates and with the Midland discount Tyler is actually performing very well. Fred, you want to add to that?
Fred Green: No, I mean that you covered it. We’re – we basically gotten the El Dorado refinery back to where it was pre turnaround and we’re approaching a position of having all of our inventories in shape to ramp it up to 80. So we’re confident based on what we’ve seen so far from the performance of the units that we’ll be able to get there.
Unidentified Analyst: And you did mention the Midland discount, what in your view is causing the spread to go wider or the volatility of the spread. Is it just turnaround in the region or are you seeing anything comes up crude production or the type of crude out there?
Uzi Yemin: That’s a great question. If you go back to the call we had three months ago we said that we expect and there was a question where we’re going to hedge Midland and we said no because we expect that just to expand and it actually did. We in the last few days we actually saw $10 under for March delivery barrels. We think that this will continue probably until June when there will be more piping coming in and then it will go back to something like $3 to $4 not as wide. But with the production in Midland the way it’s going and several turnarounds the tanks are at Midland are completely full. So producers need to get lower price obviously with the run-off of WTI that’s extremely well to people that buy from Midland and not by from Cushing. That basically in our mind the biggest change that we saw in the last two, three weeks that influence our company going from a discount of $0.50 three months ago, four months ago to discount for April of $5.50 to $6 that $5 if you calculate that number it’s a big, big number for our company.
Unidentified Analyst: And this pre-flash tower that you have, I’m just trying to understand what is the maximum light oil in terms of like what API gravity oil can you actually put through this, like this new pre-flash tower? Can you do 42, can you push it up to 44? Is there a number you have in terms of amount of light sweet you can actually push through it like the quality of light sweet?
Fred Green: This is Fred. I’ll take that one. When we looked at our design obviously we buy all the locally produced oil which is kind of on average 30 gravity 2% sulfur. And our goal was above that level to be able to bring in crudes in excess of 40 gravity to fill the plant at 80,000. So – while we don’t have a specific number in terms of what gravity of oil we can handle, we fully expect on an average crude slate of 38 to 39 that we’ll be able to get at or above 80,000. Having said that the flexibility is there so back down on total volume and run much lighter crude. So it’s a balancing act around actual capacity versus gravity.
Unidentified Analyst: I understand - I understand, because there’s obviously this oil out there which no pipeline is willing to carry because it’s super light. So if you can find additional barrels of those that can be highly beneficial because the discount on that could be on top of the Midland discount. So that was what I’m trying to understand?
Fred Green: And we’re taking advantage of that by using our crude by rail flexibility.
Unidentified Analyst: Thank you so much guys for your time.
Fred Green: Thank you, (indiscernible).
Operator: Your next question comes from the line of Roger Read from Wells Fargo.
Roger Read - Wells Fargo: Hi.
Uzi Yemin: Good morning, Roger.
Roger Read - Wells Fargo: I guess a lot of the stuff has been hit here. But one thing I’m curious about and I don’t believe it was mentioned in the press release or in the commentary here on the call. You’ve got at the DK level $400 million in cash you’ve got $245 million of debt. Where do you stand now especially with the El Dorado turnaround behind you in terms of share repurchases, dividends, I know you’ve got additional expenditures on the CapEx side, but just in broad terms, how do you lay that out, what do you do with the cash?
Uzi Yemin: Well let me divide this into two parts. First of all we feel that liquidity is extremely important in this market regardless of what we do with the cash. That liquidity allows us to jump in and continue to be a very fast and very aggressive in approaching opportunities or putting this in the marketplace. Now talking about repurchase and dividend obviously last year we get back to the market – we feel $95 million between the repurchase and the dividend. That’s a good number. We feel that the liquidity will allow us to continue doing that. We do have another turnaround there for us but you’re absolutely right. 2016 looks very light in terms of cash needs and that will allow us to continue with the (D&A) of the company making acquisition. The – what we see in the marketplace lately is refineries are coming of the high season and we may have an opportunity to look at couple of assets.
Roger Read - Wells Fargo: A couple of I’m sorry what?
Uzi Yemin: Couple of refinery assets.
Roger Read - Wells Fargo: Okay, got it. That was going to be my follow-up question, what about the acquisition side so that handles that. I guess to follow-up with the prior questions on the delivery of crude into El Dorado. Can you give us an idea of sort of the relative profit, well I shouldn’t say relative. The relative delivered cost per barrel of pipeline versus crude by rail here, and with the exception of the Canadian barrels, are the crude by rail barrels mostly Bakken or are they something else?
Uzi Yemin: Well it depends. We talk about our crude – El Dorado let’s call it 80,000 barrels, 35 is coming from Midland obviously, 25 is below – 22, 23 inching towards 25 is the – these are the local barrels. The local barrels you can check it online, the differential on these local barrels have widened a little bit as well. So these are the cheapest 60,000 barrels. Now we need to fill it up with another 20,000 barrels. It is a combination of light either from East Texas being brought up by the pipe or Canadian if we start to do heavy or not heavy we’re approaching the asphalt season as well as other light products like the Bakken as you mentioned. It’s basically 20,000 barrels of opportunistic if you will depends on what the market structure is and what we want to put either the well cost or the spot buying.
Roger Read - Wells Fargo: Okay. That’s helpful. And then the final question, we’ve had some changes to the downstream distribution in some of your core markets in Arkansas. How has that been playing out I mean are we seeing some improvement in terms of local margins or is the competition and for the product yield of El Dorado still an issue overall?
Uzi Yemin: Well what we further doing turnaround we’re able to supply all the barrels obviously would be helpful, Tyler, Tyler ran very well and helped El Dorado during the turnaround. The – this in Arkansas are healthier compared to other places around the country and we feel that we can supply this market and be very instrumental to the Arkansas to the middle Arkansas market.
Roger Read - Wells Fargo: Okay. Thanks.
Operator: (Operator Instructions) And there are no further questions from the phone lines.
Uzi Yemin - Chairman, President and Chief Executive Officer: Well, obviously I’d like to thank my colleagues here on the table. I’d like to thank you the Investors and the Analysts for the interest in the company, but mostly I’d like to thank our employees for another year of really hard work in bringing the company – this company to what it is, great place to be in. Thank you so much. Have a great day.
Operator: Ladies and gentlemen this does conclude today’s conference call. You may now disconnect.